Operator: Hello, everyone, and welcome to the Owens Corning Q3 2022 Earnings Call. My name is Daisy, and I'll be coordinating your call today. [Operator Instructions]. I would now hand over to your host, Amber Wohlfarth, to begin. So Amber, please go ahead.
Amber Wohlfarth: Thank you, and good morning, everyone. Thank you for taking the time to join us for today's conference call and review of our business results for the third quarter 2022. Joining us today are Brian Chambers, Owens Corning's Chair and Chief Executive Officer; and Ken Parks, our Chief Financial Officer. Following our presentation this morning, we will open this one-hour call to your questions. In order to accommodate as many call participants as possible, please limit yourselves to one question only. Earlier this morning, we issued a news release and filed a 10-Q that detailed our financial results for the third quarter 2022. For the purposes of our discussion today, we have prepared presentation slides that summarize our performance and results, and we'll refer to these slides during this call. You can access the earnings press release, Form 10-Q and the presentation slides at our Web site, owenscorning.com. Refer to the Investors link under the Corporate section of our homepage. A transcript and recording of this call and the supporting slides will be available on our Web site for future reference. Please reference Slide 2 before we begin, where we offer a couple of reminders. First, today's remarks will include forward-looking statements based on our current forecasts and estimates of future events. These statements are subject to risks, uncertainties and other factors that could cause our actual results to differ materially. We undertake no obligation to update these statements beyond what is required under applicable securities laws. Please refer to the cautionary statements and the risk factors identified in our SEC filings for a more detailed explanation of the inherent risks and uncertainties affecting such forward-looking statements. Second, the presentation slides and today's remarks contain non-GAAP financial measures. Explanations and reconciliations of non-GAAP to GAAP measures may be found in the text and financial tables of our earnings press release and presentation, both of which are available on owenscorning.com. Adjusted EBIT is our primary measure of period-over-period comparisons, and we believe it is a meaningful measure for investors to compare our results. Consistent with our historical practice, we have excluded certain items that we believe are not representative of our ongoing operations when calculating adjusted EBIT and adjusted earnings. We adjust our effective tax rate to remove the effect of quarter-to-quarter fluctuations, which have the potential to be significant in arriving at adjusted earnings and adjusted earnings per share. We also use free cash flow and free cash flow conversion of adjusted earnings as measures helpful to investors to evaluate the company's ability to generate cash and utilize that cash to pursue opportunities that enhance shareholder value. The tables in today's news release and the Form 10-Q include more detailed financial information. For those of you following along with our slide presentation, we'll begin on Slide 4. And now opening remarks from our Chair and CEO, Brian Chambers. Brian?
Brian Chambers: Thanks, Amber. Good morning, everyone, and thank you for joining us for today's call. Owens Corning posted record third quarter results today, in line with the expectations we shared with you in July. During the quarter, our global team once again executed at an extremely high level in what continues to be a very dynamic environment, delivering strong commercial and operational performance in support of our growth strategy, and in service of our mission to build a sustainable future through material innovation.  During our call this morning, I'll provide an overview of our results and what we are doing to continue to outperform the market in the near term, while investing to strengthen and grow our company for the future. Ken will then provide details on our third quarter performance, and I'll come back to talk about our business outlook for the remainder of the year.  Now, I'll turn to our third quarter results, beginning as always with a review of our safety performance. At Owens Corning, our commitment to safety is unconditional. Year-to-date, 54% of our global facilities remain injury free, nearly one half of our sites have worked injury free over the past 12 months. In the third quarter, our recordable incident rate was 0.64, consistent with our third quarter 2021 performance.  Financially, we delivered third quarter revenue of 2.5 billion, a 14% increase over the third quarter of 2021; adjusted EBIT of 487 million, up 22% year-over-year and adjusted EBITDA of 608 million. This resulted in an adjusted EBIT margin of 19% and an adjusted EBITDA margin of 24% for the quarter. In addition, we generated free cash flow of 367 million and returned 239 million of cash to investors through dividends and share repurchases.  In the third quarter, we repurchased approximately 2.5 million shares. During the quarter, we saw many of our end markets beginning to reset, as we all adjust to a changing macroeconomic environment with higher inflation, higher interest rates, and continued uncertainty in Europe created by the war in Ukraine. Despite these challenges, our global team continued to deliver great financial results driven by our strong customer partnerships, unique product and process innovation, and resilient supply chain and manufacturing performance.  The results generated this quarter and over the past several quarters continue to highlight the progress our team has made on key strategic initiatives to outperform the market in the near term, while positioning us for sustainable long-term performance as we expand into new addressable markets, and strengthen the earnings power of our company.  In July, we highlighted several recent investments to accelerate the company's growth and generate higher, more resilient earnings by executing our strategy to strengthen our core businesses and expand into new products and applications that leverage our market knowledge, material science expertise, and manufacturing capabilities.  Since our last call, we completed the acquisition of Natural Polymers in August and have been hard at work integrating the team and its technologies into our broader insulation product offering. Similar work is underway with WearDeck and our joint venture with Pultron in the Composites business, supporting our pivot into higher value, more capital efficient applications focused on building and construction, renewable energy and infrastructure.  As previously shared, we are also moving forward to exit the Russian market and have entered an agreement to sell our Russian operations, which is now moving through the regulatory approval process. To build on our acquisitions, we're also investing in organic growth through new product and process innovation, as well as targeted new capacity additions.  Through the third quarter, the company launched 46 new or refreshed products across our global businesses. These products span many of the core platforms in our roofing, installation and composites businesses, including roofing components, as we expand our self adhered and synthetic product offerings, and our nonwovens business as we add to improve our offerings in key building and construction segments.  In addition to accelerating our product and process innovation, we also continue to invest in new production capacity to meet our customer demand. To support our new nonwoven production line scheduled to come online mid to late next year at our Fort Smith, Arkansas site, we will be adding additional capacity to apply specialized coatings to our materials to meet the growing demand for our products in building materials such as gypsum and polyiso insulation.  As we make these growth investments, we remain focused across the company on ensuring we have the most cost effective and flexible manufacturing networks. For example, and in insulation, our network optimization efforts within our North American fiberglass business remain on track as we wind down our operations in Santa Clara, California, here in the fourth quarter, and prepare to start up our expanded Nephi, Utah production line in the spring of next year.  The combination of our Nephi facility and our Eloy, Arizona plant, which restarted earlier this year, provides us with greater flexibility to service our West Coast customer base. The progress we are making in all these key areas driven by the resilience and creativity of our teams, our unique operating model, and our disciplined execution focus establishes Owens Corning as a stronger company with increased earnings potential. This strong foundation positions us to continue delivering outstanding results, even as market conditions shift from recent levels. Before I turn it over to Ken, I'd like to share how our sustainability leadership is bringing additional value to our customers. Over the past two decades, sustainability has become core to who we are and how we operate at Owens Corning. But now more than ever, our aspiration to be a net positive company is a shared pursuit within and beyond our company. Increasingly, our sustainability performance is recognized as an important differentiator by our customers.  Earlier this month, Lowe's honored Owens Corning by naming us their 2022 Sustainability Partner of the Year, based on our commitment to reducing our environmental impact and building a sustainable future through material innovation. In delivering the award, Lowe's cited our company as a critical partner in the progress it has made on its sustainability goals, including increasing the number of eco products provided to customers and reducing emissions across its entire value chain.  During the third quarter, we were also recognized as the 2022 Supplier of the Year by Avient, a global manufacturer of composites materials. Once again, our focus on sustainability was cited as a driver for the award with specific reference to our EcoVadis Platinum certification as a critical indicator of our ability to provide supply security, even in times of extreme supply chain challenges. These are just two recent examples of how collaborating with our customers on sustainability is generating meaningful benefits for one another, and building a sustainable future for all.  With that review of our performance and strategic initiatives, I will now turn it over to Ken to discuss our financial results in more detail. Ken?
Ken Parks: Thanks, Brian, and good morning, everyone. As Brian commented, we delivered another strong quarter with revenue and earnings growth across the enterprise despite moderating conditions in many of the end markets we serve. Our disciplined commercial and operational execution was fundamental in driving this performance. As we've talked about in prior calls, inflation continues to impact energy costs, nearly all material input costs along with transportation. In each of the three businesses, positive price offset the inflation headwinds in the quarter. Overall, third quarter operating margins reached 19% and expansion of 100 basis points versus the same period last year.  Beginning on Slide 5, we can take a closer look at our results. We reported consolidated net sales of $2.5 billion for the third quarter, up 14% over 2021 with revenue growth in all three segments. Adjusted EBIT for the third quarter of 2022 was $487 million, up $87 million compared to the prior year. Adjusted earnings for the third quarter were $347 million, or $3.57 per diluted share, compared to $262 million, or $2.52 per diluted share in the third quarter of 2021.  Slide 6 shows the reconciliation between our third quarter 2022 adjusted and reported EBIT. For the quarter adjusting items totaled approximately $123 million. We recognize 130 million of gain from acquiring the remaining 50% interest in a previously held nonwovens joint venture. We also recognize $7 million of gains on the sale of precious metals. In addition, we recorded $12 million of charges associated with our already announced restructuring actions. Finally, we recorded $2 million of cost related to acquisitions. All of these items are excluded from our third quarter adjusted EBIT.  Turning to Slide 7, I'll now discuss our cash generation and capital deployment during Q3 2022. Earnings expansion along with continued discipline around management of working capital, operating expenses, and capital investments resulted in strong free cash flow of $367 million for the quarter while beginning to replenish historically low inventories. Capital additions for the third quarter were $94 million, or 4% of revenue, up $28 million from 2021.  Consistent with what we shared at our Investor Day last November, we remain focused on reducing our capital intensity through productivity and process innovations. As a result of this and our earnings growth, our return on capital was 21% for the 12 months ending September 30, 2022. At quarter end, the company had liquidity of approximately $1.8 billion, consisting of $751 million of cash and nearly $1.1 billion of combined availability on our bank debt facilities. During the third quarter, acquisition and divestiture activity approximated $168 million of net cash outflow. We also returned $239 million to shareholders through share repurchases and dividends, bringing the year-to-date total cash return to shareholders to $639 million. In the quarter, we repurchased 2.5 million shares of common stock for $206 million and paid a cash dividend of $33 million. We remain focused on consistently generating strong free cash flow, returning at least 50% to investors over time, and maintaining an investment grade balance sheet while executing our business strategies to grow our company.  Slide 8 summarizes the changes in third quarter adjusted EBIT from 2021 to 2022 by business. Third quarter 2022 adjusted EBIT increased $87 million over the prior year, reaching $487 million and all three segments delivered year-over-year EBIT growth. Now, turning to Slide 9, I'll provide more details on the performance of each of the businesses.  The Insulation business delivered another quarter of record results in the third quarter. Q3 revenues were $965 million, an 18% increase over the third quarter 2021. North American residential insulation, inclusive of residential fiberglass and spray foam, grew in the quarter resulting from positive pricing, the incremental revenues from Natural Polymers and modest volume growth in residential fiberglass.  In technical and global insulation, demand remained solid for our highly specified products. However, volumes declined as demand moderated slightly and customer inventory levels started to normalize, primarily in North American mineral wool and Europe. Pricing was positive and continued to offset ongoing inflation. Currency translation also became a larger headwind in the quarter.  EBIT for the third quarter was $173 million, up $49 million as compared to 2021. The EBIT increase primarily resulted from positive price in both technical and residential insulation, while energy, material and transportation inflation accelerated from Q2 to Q3. Overall, installation delivered EBIT margins of 18% in the third quarter. Now, please turn to Slide 10 for a review of our Composites business. The Composites business delivered another quarter of year-over-year growth with EBIT up 25%. Sales for the quarter were $638 million, up 8% compared to the prior year. We benefited from favorable price realization as we continue to face ongoing inflation. The top line growth was also driven by strong commercial performance, resulting in another quarter of favorable mix.  As anticipated, our volume in Asia Pacific continued to be impacted by COVID restrictions in China. Currency translation was a headwind in the quarter, along with the net impact of the divestiture of the dry use chopped strand manufacturing assets located in Chambéry, France, partially offset by the recent acquisitions. EBIT for the quarter was $126 million, up $25 million from the same period a year ago, resulting from positive price and favorable mix, which were partially offset by accelerating inflation and the impact of lower volumes. Composites delivered 20% EBIT margins for the quarter.  Slide 11 provides an overview of our Roofing business. The Roofing business delivered another quarter of strong top and bottom line performance. Sales in the quarter were $1 billion, up 15% as compared to the prior year with positive price realization. Price was partially offset by the low single digit volume decline for shingles and a higher decline in components were inventory levels at distribution have normalized.  The U.S. asphalt shingle market on a volume basis was down approximately 7% compared to the prior year, with our U.S. shingle volumes outperforming the market. For the quarter, EBIT was $229 million, up $17 million with price offsetting continued inflation from asphalt, other material and delivery costs. EBIT margins remain strong at 23%.  Turning to Slide 12, I'll discuss our full year 2022 outlook for key financial items. General corporate expenses are expected to range between $170 million and $180 million. Interest expense is now estimated to range between $110 million and $115 million. Our 2022 effective tax rate is now expected to be 24% to 26% of adjusted pre-tax earnings, and our cash tax rate is expected to be 22% to 24% of adjusted pre-tax earnings.  Finally, capital additions are expected to be approximately $480 million below anticipated depreciation and amortization, which is now estimated at approximately $535 million, including the impact of recent acquisitions.  Now, please turn to Slide 13 and I'll return the call to Brian to further discuss the outlook. Brian?
Brian Chambers: Thank you, Ken. During the third quarter, we continued our track record of great performance delivering another outstanding quarter despite shifting market conditions. As we move through the fourth quarter, we expect to see many of our end markets continuing to adjust to changing macroeconomic conditions.  From a demand perspective, we expect to see good order volumes in our U.S. residential and commercial product lines as we finish the year, in contrast to some weakening demand trends in our international construction end markets, especially in Europe and Asia. From a cost perspective, we anticipate additional inflation, especially European energy costs to continue to impact our businesses.  Even with these inflationary headwinds, we expect to maintain a positive price cost in each of our businesses for the fourth quarter. In addition, we expect to realize some modest currency headwinds as well as the impact of much needed production and maintenance downtime in many of our plants, which we have deferred for the last several quarters. Overall for the company, we expect to continue to successfully navigate these shifting market conditions and generate modest growth in net sales and adjusted EBIT versus prior year.  Now, consistent with prior calls, I'll provide a more detailed business specific outlook for the fourth quarter. Starting with inflation, we expect revenue growth of approximately 10% versus prior year, driven by a combination of continued price appreciation, partially offset by the ongoing impact of currency headwinds and slightly lower overall volumes.  In our North American residential business, we anticipate continued price realization on our previously announced increases with relatively flat volumes versus prior year. Additionally, we expect to realize a full quarter of revenue from our recent acquisition of Natural Polymers.  In our technical and global installation businesses, we expect continued price realization resulting from our previously announced increases. We expect volumes to be down mid-to-high single digits, as we have seen some demand softening tied to the broader macro environment in Europe and China.  From a cost perspective, we expect inflation from materials and energy to continue to be a headwind in the quarter with price cost remaining positive, but narrowing. We also anticipate some incremental manufacturing costs associated with necessary maintenance and production investments. Given all this, we expect to see earnings growth in Q4 versus prior year with mid-teen EBIT margins for the business.  Moving on to Composites. In the fourth quarter, we expect revenues to be relatively flat year-over-year, as price realization and the impact of recent acquisitions are offset by lower volumes, similar to what we saw in Q3, as well as currency headwinds continuing to accelerate and the exit of the DUCS product line.  We anticipate Composites pricing will remain steady with a slightly lower year-over-your comp versus what we saw in Q3. We expect inflation to be a headwind with price cost continuing to narrow in Q4. Similar to insulation, we anticipate some incremental manufacturing costs associated with necessary maintenance. Overall, we expect earnings to be down slightly in the quarter versus prior year with mid-teen EBIT margins.  And in Roofing, we anticipate high single digit revenue growth with ARMA market shipments down low-to-mid single digits versus prior year. We would anticipate our shingle volumes in the quarter to track largely in line with the market, while we would expect our components volumes to lag shingle shipments as distributors work through inventory, similar to what Ken discussed for Q3.  As in our other businesses, we expect inflation to remain a headwind in the quarter, with asphalt seeing some sequential release, but continued year-over-year inflation. From a price cost perspective, we expect to deliver another positive quarter. Similar to the other two businesses, we also expect to take some downtime in the quarter to perform necessary maintenance on our assets. Overall, we anticipate relatively flat earnings versus prior year with EBIT margins approaching 20% for Roofing.  With that view of our businesses, I'll close with a few enterprise items as we look beyond the fourth quarter. While we expect the shifting macro environment to continue to impact our end markets in the near term, the structural improvements made to our businesses, combined with our leading market positions and discipline execution, position us well to continue to generate strong financial results.  In addition, we believe several long-term secular trends around housing growth and renovation, changing construction practices, and the demand for more sustainable solutions create new growth opportunities and broadens our market reach. These long-term trends drive our enterprise strategy and investment choices to strengthen our position in core products and markets, expand into new product adjacencies that leverage our material science, market and manufacturing expertise, and develop more multi-material and prefabricated construction solutions. Each of these strategic priorities expand our current addressable markets and increase the earnings power of the company.  We've also built an incredibly strong balance sheet and plan to leverage our financial strength as great companies do to continue to invest to strengthen the long-term performance of the company through a balanced capital allocation strategy focused on organic growth and productivity investments, acquisitions which leverage our unique material science, manufacturing and market expertise, and returning at least 50% of free cash flow to shareholders over time, through dividends and share repurchases.  Overall, we are excited about the investments we are making to help our customers win in the market, grow our company and deliver value for our shareholders. As we finish 2022 and turn towards 2023, we remain focused on delivering on our financial commitments and strengthening our company for the future.  With that, I will now turn the call back to Amber to open it up for questions. Amber?
Amber Wohlfarth: Thank you, Brian. We are now ready to begin our Q&A session.
Operator: Thank you. [Operator Instructions]. Our first question today comes from Stephen Kim from Evercore. Stephen, your line is open. Please go ahead.
Stephen Kim: Yes. Thanks very much, guys. I appreciate all the color and strong performance here. If I could just first start off by asking about the Composites business. Obviously, you had the China COVID restrictions again. I think you had mentioned last quarter that that business was around $200 million annually. Just wondering what your outlook is? Basically, did we see any improvement there at all? Are you expecting anything, just in terms of the quantification of that relative to what you had in 2Q? And what your outlook would be for the Composites pricing business overall, in light of the rapidly changing situation globally, just how that's impacting your pricing discussions in Composites?
Brian Chambers: Thanks, Stephen. Thanks for the questions. Let me kind of address all three of those. Reaffirm to you that first of all, the business size that you said, that's definitely about right, and maybe a little bit larger than that, but call it around $200 million. The outlook for that, we did call out the COVID restrictions last quarter. We pretty much saw what we anticipated to play out in China this quarter, maybe just a little bit weaker on volumes, as those COVID restrictions and the shutdowns continued through the quarter. As far as the outlook, I think we're thinking probably for the balance of the year, we're not counting on a significant change in that environment for China specifically. We will not get into 2023 on this call yet, but certainly we would anticipate that the fundamental demand patterns within China should kind of return more to a normal pattern once these COVID restrictions kind of wane and go away. So near term, probably we’d be looking at very similar what we saw in the third quarter. And then as these COVID restrictions settle, the good news is the fundamental demand patterns are in place in China, and it should kind of step back to where it was. Now as far as the outlook on Composites pricing, it's a great question. And I'll kind of give you some perspective on it. We've said before, and I know that you know this, that about two thirds of our Composites business is really tied to contracts. And we're in the phase right now where we're actually out there talking with customers about the contracts for those that renew for the upcoming year. And they're not all single year contracts, but a big piece of them are. And I can tell you that what we're seeing so far is even in light of some of the environment changes, the macro changes, the demand changes, what we are seeing is, is that we're seeing good discussions around pricing. Not a lot of pushback on pricing, especially as we look at continued inflation, including energy in Europe, which we all know is not abating. And in fact, we saw an acceleration of inflation in Europe. And that's a big input cost to not only our Composites business, but our Insulation business. So that's allowed us to have the right discussions with customers. And so far with a measurable amount of our contracts kind of either completed or in processes and verbal discussions, we're actually still seeing good pricing momentum and we're able to have positive discussions with customers.
Operator: Thank you. Before we take our next question, I'd just like to remind everyone, please stick to one question to allow everyone the chance to ask today. Our next question is from Truman Patterson from Wolfe Research. Truman, your line is open. Please go ahead.
Truman Patterson: Hi. Good morning, everyone. Thanks for taking my question. Just wanted to follow up on Steve's question, but asked a little bit differently. Previously you've discussed large backlogs in Composites. Is there any way you could quantify those backlogs today? Maybe today how they look versus six months ago, and I'm particularly interested in Europe and the Chinese markets? And then taking it a step further, how should we think about detrimental operating margins for the segment just given some of the negative volumes that you've seen?
Ken Parks: Yes. Thanks, Truman. Thanks for the questions. What I would say about the backlog is let's kind of talk about it by region. And we won't quantify it, but to your point I'll kind of give you how do things look today versus how they looked a few months ago. In the Americas, the backlogs, the order book still looks very strong across the Composites portfolio. I would say no negative changes there in aggregate. In China, I'll actually talk about Asia Pacific and say in China, probably the order backlog is a little bit weaker than what we thought six months ago. But I can tell you that the demand patterns out of India continue to remain very strong. So overall Asia, I think we're kind of seeing an order book that was some pressure on China and some strength in India. Those numbers look like they're kind of probably order of magnitude about the same as what we saw a few months ago. And then in Europe, I think it's important to point out as I give you the Europe answer, remember that we completed the exit of our DUCS business, our dry use chopped strand business in France. And so we had sized that for you at about $100 million a year of revenue. And it's fair for the purpose of 2022 to think about that relatively ratably over the quarter. So when you take that out, what I would say, as you saw volume decline, then that order book decreases, because the DUCS business is gone from Europe. But what I would tell you about the rest of Europe is maybe a little bit weaker on some of the demand and the order book across the European region. But still, when I say weaker, consider the fact that over the last couple of years, not only in Europe, but in all of our businesses, we've been running very, very, very strong at high capacities. So while I tell you it's a little bit softer in Europe, it's very nicely held up even in light of all the variables that Brian outlined in the outlook about what's happening across Europe, with the Ukrainian impact, the energy and how it's affecting demand, and even some of the things that the countries are doing to try to control some of the inflationary impacts. So I think that's probably the best way I can describe it to you. As far as detrimental margins, I'll put it this way. As opposed to just kind of thinking about the detrimental margin percentage, kind of think about what we just gave you as a guide for the quarter, which was -- for the fourth quarter, which was softer volumes, so incrementally softer volumes in total, again off of strong numbers, price cost narrowing. And we talked about that throughout the year that as we contracted pricing, obviously the pricing comes in early in the year. And we anticipated that inflation would kind of grow through each of the quarters. And that's exactly what's happened. So our price cost is narrowing, not only from the second quarter to the third quarter, but the third quarter to the fourth quarter. And then layer on top of that, the third variable, which is kind of taking some of the assets down for manufacturing, downtime and productivity improvements, and just doing the things that we've needed to do over the last few quarters, because of the run rate. Even with those three variables playing into our business in the third quarter, we're talking about Composites running at mid teens operating margins, which as you look back at the history, that's still a very healthy business providing really good operating performance. And I think that's a result of the investments that we've made over the last several years in the portfolio, looking at less capital intensive businesses, the acquisitions that we've done, as well as some of the network optimizations just in general and our local supply for a local demand. So instead of detrimental margins, what I'd say is kind of look at where we're landing, and we talked about in our Investor Day that we've kind of raised the threshold of the lower end of the operating performance. And I think that's exactly what you're going to see in Q4, which is a great proof point.
Operator: Thank you. Our next question is from Adam Baumgarten from Zelman & Associates. Adam, your line is open. Please go ahead.
Unidentified Analyst: Hi. This is actually Morris [ph] for Adam. Thanks for taking my question. On shingles, what's your expectation for price? And there might be some support there given the hurricane in Florida. But even past that, once all those jobs get completed over the next, call it, late next year and into '24, would you expect that to price normalization in line with sort of like the prior cycles?
Brian Chambers: Yes, I guess in our Roofing business, I'd probably start a little bit on the market itself, which continued to operate very strong in Q3. We took a little step back as we talked about in terms of industry shipments, but just to put that in perspective, I think still comping against a very strong quarter and historically, third quarter very, very strong. So we continue to see good demand trends across most of the country. Early in the quarter, we started to see a little bit of regional splits where there are some regions, Texas, rocky mountain regions that had kind of less impact from hail activity. That saw some declines overall. But Southeast, Midwest, the rest of the countries stayed very, very strong. So we're seeing good demand patterns. We do continue to face into installation and materials that we're looking to continue to recover through additional price realization. And so we announced an August increase to continue to be keeping pace with some of that inflation. And I'd say the pricing dynamics in Roofing have continued to be very, very good. And we would expect that with a good demand environment continuing going into next year. We've got historic a very good track record of being able to recover inflation through price and would expect that to continue into next year.
Operator: Thank you. Our next question is from Mike Rehaut from JPMorgan. Mike, your line is open. Please go ahead.
Michael Rehaut: Thanks. Good morning, everyone, and congrats on the results. My first question, I guess my only question is focused on insulation and talking about some moderation, volumes flattish in North American residential in the fourth quarter. And obviously, everyone can see some of the moderation in the broader residential housing market as its ongoing today. I was hoping to get a sense of where we are today from an industry level in terms of capacity utilization. And to the extent that we were to have 5%, 10% -- let's say a 10% drop in volume next year or it could potentially be more than that, where might that utilization go if there's any capacity additions still scheduled to come online and any implications from that in terms of industry pricing?
Brian Chambers: Okay, thanks, Mike. I appreciate the comments. Just looking overall at our residential insulation business, we continue to see very strong demand for our insulation product. So when we think about Q3 that we just talked about, we saw volumes up a bit over prior year. We're calling for a relatively flat volume outlook in Q4, but remembering that's against very high comps in terms of last year's fourth quarter. So that's actually continuing really strong performance in terms of demand. And we think that's going to certainly continue here in the fourth quarter with our guide and probably carry over into the first part of next year. So capacity utilization rates, we believe are running very, very high levels to keep up with demand. And when we look at the shifting environment and new construction housing, clearly we're seeing the reset that we talked about in the last call, with higher interest rates starting to impact starts. But even with that, when we look at backlogs and completion rates, they're still lagging starts. So we think there's still very good backlog that are going to need to be worked through over the next quarter or two. And we continue to look at housing starts even today's rates still running well north of 1.4 million units, permits are still well over 1.5 million units. So while I think the industry is going to reset, consumers are going to reset the higher rates, fundamentally, there's still a high demand for housing in the U.S. market. And different from previous cycles that we've gone through and there's very little to no inventory in the system. So I think we are going to see kind of some volatility as the market resets to some higher rates. But we think that reset rate still is higher than previous cycle downturns. And we think that creates a good demand environment going forward for us. So we think we're well positioned. We don't see any additional capacity coming on next year to talk a little bit about that. So we think capacity utilization rates would be fairly stable. I did talk about we're going to be completing a phase of our network optimization with closing down our Santa Clara facility. We will shut down those operations at the end of this month. We're going to be shutting down our Nephi, Utah facility at the end of November, because that's the facility that we're going to be reusing to make existing equipment from Santa Clara. And then we'll be on a few months process of upgrading that production line to bring it back up in early next spring. But right now, we would say demand trends for our products stay very strong. We think that continues as builders work to inventory levels. And we'll see how interest rates settle out as we go into next year. But we still think it creates a pretty favorable environment, certainly over the long term, for increased housing demand in U.S.
Operator: Thank you. Our next question is from Kathryn Thompson from Thompson Research Group. Kathryn, your line is open. Please go ahead.
Kathryn Thompson: Hi. Thank you for taking the question today. This is a little bit broader question versus kind of really kind of focused on the quarter and what’s going to be coming up in the next few, and somewhat focused on composites that has implications for insulation. On composites, you've done a really great job of changing your mix to product mix in order to shift to a higher margin, more value add product and included acquisitions and divestitures. As you think forward in the broader global trend of deglobalization, how do you think about Owens Corning's positioning against that backdrop of a slow deglobalization? Granted, this would impact your Composites business a little bit more, but if you could comment on that trends, your position, how you're managing it, not just for Composites, but for all of your businesses? Thank you.
Brian Chambers: Yes, thanks for the question. Just stepping back to give a little perspective, today when we look at our revenue footprint, about two thirds of our revenue is generated and focused in the U.S. market, about a third internationally. So I think we have been very selective in terms of our geographic footprint to operate in markets where we see good demand for our building and construction materials, where we can bring a differentiated advantage inside that market and where we want to continue to operate, we think it complements the global footprint of our product offering. And so the geographies we've looked at in Europe, primarily India, China, Mexico, Canada, put it outside the U.S., we think these are markets that create great opportunities for us to growth. And we look inside each one of those and continuing to evaluate the potential market opportunity that we have in front of us, and how that fits with our products, our innovation, our technology, and our growth agenda. So it's always something we're looking at in terms of our geographic footprint, in terms of how it fits inside our strategy. But today, I'd say, we like our footprint, we like the positions we have in the markets that we're operating in internationally. We think they bring advantage to our company in terms of how we innovate products and how we use markets for different views of trends in building material, in terms of building construction practices, in terms of sustainability. So every market brings us a perspective that we think we can leverage into other markets. And we use it to really drive an innovation agenda. In certain markets, we can innovate products at a fast rate or a different rate, and look for those opportunities. So something we're always evaluating. But in terms of the current footprint, we like our geographic footprint we have today. We think each market brings us advantages, not only in the near term, but longer term. But it's something that we continue to evaluate and look at in terms of our fit, in terms of our strategy going forward.
Operator: Thank you. Our next question is from Mike Dahl from RBC Capital Markets. Mike, your line is open. Please go ahead.
Michael Dahl: Thanks for taking my question. Just a question on cost inflation. You're talking about some continued acceleration in the fourth quarter. I think the last -- 3Q when I look at both combined input costs and transportation, the year-on-year headwind seemed pretty -- it was slightly up, but the rate of upward increases eased a little bit. When you look at the fourth quarter, anything you can help us with? There was like 280 million year-on-year headwind. Maybe quantify what type of step up in inflation you're facing when you factor in some of the energy costs and everything else? And are you starting to see anything say on like roofing or anything that is starting to be an offset to energy, maybe oil or asphalt costs, anything like that? Thanks.
Ken Parks: Yes, thanks, Mike. Great question. And it is something that we're constantly focused on, as you would imagine. I would say let's just put some perspective on the first three quarters. And I know that you pulled the numbers on the third quarter. We've seen probably based on cost of goods sold, about 13% inflation in Q1 followed by 14% in Q2 and 15% in Q3. And you can get those numbers as you've done right out of the Qs on the input costs. As we think about Q4, and we talk about continuing inflation, really the largest incremental driver of that is European energy and the challenge there for all of us, and it's not just an OC challenge, is based upon what's driving that. That's a very volatile kind of environment we're seeing. You're seeing 20% increases one day and a TTF of natural gas, and you're seeing 20% decreases the next day. Recently, we've seen kind of a drop in that down to a relatively low level based on recent experience. But I would tell you, I think with everything that's going on plus heading into the winter we're anticipating that European energy to be the biggest item that steps up between Q3 and Q4. As far as things that may be offsetting it, we're seeing a little bit of improvement across the globe on transportation, whether it be ocean freight or really even over the ground transportation movement. So we're seeing a little bit of maybe an improvement there that we would bake in between Q3 and Q4. And honestly, maybe a little bit of asphalt, but it's not moving significantly, at least it's not moving up the way that it has been. When you put all that together -- let’s say all the rest of the input costs are still kind of inflating similarly to what we saw in the last couple of quarters. So when you put all that together, I would say really we're seeing kind of some dollar step up in inflation that will be driven primarily by European energy, maybe a little bit of U.S. energy. But it's got a few offsets in some of the other components. So probably relatively the same, maybe a little bit higher on a dollar basis, which is therefore maybe a little bit bigger on a percentage basis because of a slightly smaller quarter.
Operator: Thank you. Next question is from John Lovallo from UBS. John, your line is open. Please go ahead.
John Lovallo - UBS: Good morning, guys, and thank you for taking my question. How should we think about technical and global insulation pricing as we head into the fourth quarter? And how much of a continued tailwind should this be in 2023?
Brian Chambers: Thanks, John. We continue to expect to see good price realization in that category for us in technical and global. That was part of our outlook for Q4. So we continue as in all our product lines to continue to try to offset the inflation we're seeing through price and productivity. And we continue to work that. We have made some announcements in our technical and global insulation category. It's a combination of several products, a little bit more diverse product line. So they all have kind of different implementation and effective dates, but we continue to see good price utilization there and good demand overall. So we would expect that to continuously as we go into 2023.
Operator: Thank you. Our next question is from Matthew Bouley from Barclays. Matthew, your line is open. Please go ahead.
Matthew Bouley: Good morning, everyone. Thanks for taking the question. Just back on the topic of insulation in North America on the fiberglass side, I know you're guiding that to flattish volumes in Q4 and I think I heard you say earlier, Brian, that you might be expecting some of the strengths to perhaps continue into 2023, if I heard you correctly. But I'm just curious. Number one, just thinking about what is happening in residential housing starts today just if we call it an air pocket, when would we expect that air pocket to impact your business? And then just how are you guys thinking about kind of rightsizing the fixed cost footprint in a scenario where single family housing starts are slower? Thank you.
Brian Chambers: Thanks for that. Yes, you did hear me talk about our continued strength in our resident insulation business here in Q4. We think that carries into the first part of next year, really based on the backlog of homes to be completed. So generally, we watch and follow very closely lagged housing starts. That's a better indication of kind of where insulation is put into the homes and commercial buildings as a better indicator of the timing. So we watch lagged starts, which again have another quarter of up move. And then we look at completions and backlogs, which again we think are going to continue to stay pretty solid here as we move through the next couple of quarters. So I think that strength comes through. So the air pocket for us would start to hit probably three to four months after kind of starts roll through. That's generally in the completion cycle and construction cycle where our products are used. So we would have a little more probably than a quarter lag, just to kind of put that in perspective, as we watch that. What I was talking about there, and again I think it's worth really making sure there's a view. When we look at housing in North America and U.S., I think you say it well with an air pocket. There might be an air pocket as we reset to higher interest rates. But the fundamental demand for housing is still intact longer term. There's not a housing inventory overhang that's going to be worked through. So I think once things reset, we would expect to see good housing demand. And right now, even with the declines we're seeing in starts, they're still well above 1.4 million starts. So still at really solid levels of demand that are continuing to come through even as the market resets. So that gives us some confidence that demand should stay pretty strong and pretty solid as we go through this cycle that we're coming into. In terms of rightsizing for fixed costs, this is something that we have been working on for several years in the company and in the Insulation business. And I've talked about it a lot. We continue to invest to create the most cost effective and flexible manufacturing network for insulation to give us the ability to ramp up and down to volume demands. We think we have made structural improvements to our operating costs. We continue to do that through the evolution of our Santa Clara closure, to investing in more flexible assets in Eloy and Nephi and just overall. And we said at our Investor Day last year that we felt through those structural improvements in our business that we would generate about 250 basis points higher margins on similar volumes than previous cycles. So we feel very confident that the work we've done to right-size the fixed costs will serve us well. If and when we do see housing starts declining, and if and when we do see volumes decline, that we can still generate very strong financial results in the business.
Operator: Thank you. Our next question is from Phil Ng from Jefferies. Phil, your line is open. Please go ahead.
Philip Ng: Good morning, guys. Congrats on really strong results. I guess on your Roofing business, Brian, any early read on the potential list of Hurricane Ian in the coming quarters? It was pretty meaningful. And then from an inventory level, any color on the channel inventory? And are you seeing any destocking especially as you kind of head into this seasonally slower period and you guys kind of called out asphalt started to moderate a little bit here?
Brian Chambers: Yes, thanks, Phil. In terms of Hurricane Ian, the damage is still being assessed and certainly our thoughts go to families that have been impacted by that event. And I think it's going to be one that is going to be a longer rebuild cycle in terms of what we're seeing. So what we've seen in terms of estimates is an assessment of probably around 4 million squares of damage in demand that will be created from that. And we think that pretty much aligns with kind of how we're seeing things play out. Like most hurricanes, this is a long remodeling, reconstruction process. So we see probably a little bit of that demand here in Q4, but a bigger part spilling over into the first part of next year. So I think that in Florida, particularly in the southeast market is going to keep demand very strong for the next several quarters. In terms of channel inventories, I think what we're seeing is certainly a more cautious buying behavior and distributors being more selective on the products and brands they're buying. So I think if you kind of compare first half to second half, first half, there's just a lot of buying. All products, all brands keep up with demand. In Q3, I think we've started to see again distributors be more selective on the products and brands they're buying, as they want to right-size and level set their inventories to finish the year. So I think that's going to continue here in the fourth quarter. But out the door, sales for the most part have stayed relatively strong in most regions. But we do think there's going to be a little bit of selective purchasing here in the quarter to make sure inventory levels are right-sized at the distribution level to finish the year.
Operator: Thank you. Our next question is from Keith Hughes with Truist. Keith, your line is open. Please go ahead.
Keith Hughes: Thank you. My question is in the technical insulation got some negative volumes, and we're going to see some more in the fourth quarter. Could we dig in a little more, particularly in the U.S. side, where the weakness is coming from? It is certain end user markets, any detail would be helpful?
Brian Chambers: Thanks, Keith. I think broadly inside our U.S. market space, again, we have a pretty diverse product portfolio of insulating materials. We have insulating materials that are used on the exterior of the walls and the interiors. I'd say probably the weakness we've seen is more on the commercial interior kind of applications for insulation; pipe insulation, wall insulation versus kind of the wall panels, facades versus some of the other applications we’re in. So I think that's what we're seeing in terms of some of the demand softness. But I think in the U.S. commercial markets, we still see relatively good volume. A larger chunk of our volume declines in our guide is really around European demand in terms of technical insulation and some of our China demand inside that category. But in U.S. specifically, it would probably be more in that commercial interior space.
Operator: Thank you. Our next question today is from Garik Shmois from Loop Capital. Garik, your line is open. Please go ahead.
Garik Shmois: Hi. Thanks. I'm wondering if the energy costs volatility, particularly in Europe, is impacting your hedging program at all.
Brian Chambers: It is not impacting it to the sense of how we execute on the program. I think I've mentioned to the group before that we have a program where we kind of hedge out the next five quarters. We take a bigger position on the nearest quarter and it ramps down on the later quarters. And then as we get closer to that next quarter, we may put a tarp up on it to get it to a level I’ll call it between 70% and 75% hedged. The volatility is something that we do watch, because if we really think that energy pricing is going to moderate a little bit, clearly the curves that we're looking at right now are probably a little bit more pricey than where they may land as we move through 2023. We definitely have hedging program in place, as always. We will watch where the curves and the pricing sit to determine how much we top it up. So very similar, no real change. What I would tell you is that what we are pleased with is even with the energy cost volatility in Europe, you can see in our 10-Q the disclosure around derivatives, the actual implementation of the hedging program as we always execute it has generated about $50 million of savings on energy costs for the year. So we like the program. We'll continue to execute it that way. And we will watch what the curves are doing just to make sure we have the right level of hedging.
Operator: Thank you. This is all the questions we have time for today. So I'd like to thank everyone for joining. You may now disconnect your lines, and have a lovely day.